Operator: Good morning, and welcome to the GeoPark Limited Conference Call following the Results Announcement for the Second Quarter ended June 30, 2018. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions]. If you do not have a copy of the press release, please call Sard Verbinnen & Company in New York at +1-212-687-8080 and we will have one sent to you. Alternatively, you may obtain a copy of the release at the Investor Support section on the company’s corporate Web site at www.geo-park.com. A replay of today’s call may be accessed through this webcast in the Investor Support section of the GeoPark corporate Web site. Before we continue, please note that certain statements contained in the results press release and on this conference call are forward-looking statements rather than historical facts and are subject to risks and uncertainties that could cause actual results to differ materially from those described. With respect to such forward-looking statements, the company seeks protections afforded by the Private Securities Litigation Reform Act of 1995. These risks include a variety of factors, including competitive developments and risk factors listed from time-to-time in the company’s SEC reports and public releases. Those lists are intended to identify certain principal factors that could cause actual results to differ materially from those described in the forward-looking statements but are not intended to represent a complete list of the company’s business. All financial figures included herein were prepared in accordance with the IFRS and are stated in U.S. dollars, unless otherwise noted. Reserve figures correspond to PRMS standards. On the call today from GeoPark is James F. Park, Chief Executive Officer; Augusto Zubillaga, Chief Operating Officer; Andres Ocampo, Chief Financial Officer; and Stacy Steimel, Shareholder Value Director. And now, I’ll turn the call over to Mr. James Park. Mr. Park, you may begin.
James Park: Thank you, and welcome to our 2018 second quarter results conference call where we are participating with our executive team from Bogota, Colombia. GeoPark is delivering up and down and across the board. In the subsurface, in the field, in the neighborhood, on the top and bottom lines, on the balance sheet, in the market and expanding our platform so we can do even more. Some highlights from last quarter. In the subsurface; our active drilling program discovered two new oil fields in Colombia, Tigui and Chachalaca Sur, and a healthy chunk of new oil reserves in Tigana Norte in Colombia. In the field; oil and gas production increased 37% to a record 35,870 barrels per day which includes a seamless operational takeover of three new producing blocks in Argentina. And our team is keeping its discipline to push down costs with Llanos 34 operating costs under $4 per barrel. In the neighborhood; the United Nations, Colombian Ministry of Energy and the ANH awarded GeoPark for the best social and community practices in Colombia. On the top and bottom lines; we had record revenues of $159 million, record EBITDA of $83 million and a positive net income. On the balance sheet; we delevered from nearly 5x two years ago to just a comfortable 1.3x net debt to EBITDA. And after self funding $36 million of CapEx this quarter, we have a good $105 million cash cushion. In the market; we are trading more shares every day with our daily trading amount climbing from $1 million at the end of last year to over $8 million in June, as well as GeoPark passing the $1 billion market cap milestone. Expanding to do even more; building on our unique regional Latin American platform, we were able to add over 350,000 new high potential underexplored acres in the Neuquen Basin in Argentina with our partners YPF at no upfront costs. And what’s coming; with our better than expected results, we’ve stepped up our work program to be moving at full speed with some good catalysts on the way with five drilling rigs operating in three countries, in Colombia, Argentina and Chile, and meaning we will be working harder and investing more in the second half to find and produce more oil and gas, make more money and continue building a better company for our shareholders. Thank you. And we’ll be pleased to answer any questions.
Operator: [Operator Instructions]. Your first question comes from the line of Ian Macqueen of Eight Capital.
Ian Macqueen: Good morning, guys. Just one quick question. With respect to the LGI interest, I believe it was still at 20% in Q2. Can you give us a timeline for the reduction to 16% and ultimately to 12%?
Andres Ocampo: Hi, Ian. Good morning. We are – let me put it this way. The earnings for us to increase the 4% have been accrued already. The dilution mechanism is triggered under realized cash dividends. So we have paid a dividend worth $1 below triggering the threshold. And in parallel with that, we are working with LG to design the implementation. This is going to be the first time that we actually trigger the clause. We need to design how we are going to do that dilution mechanism. So we’re working with them in parallel before paying those dividends from the subsidiary. The timeline is we’re working on it right now. We were expecting to have it implemented by this quarter already. There were some delays because of difficulties with some accounting and tax issues in Korea, but we’re working with them and we will have it in place very soon. Following that, the cash flows under D&M are showing us that we will go from the initial 84% up to the 92%. That is the maximum that we can increase under this clause within the next two to three years.
Ian Macqueen: Okay. So does that mean – is that a Q4 event or is it as soon as possible? But for modeling purposes, should I assume it’s a Q4 event or a Q3 event under 16? And right now in my model I’ve got Q3 '19 for 12%?
Andres Ocampo: Okay. On an economic perspective, it shouldn’t change your model. The value is the same. The timing of the transfer doesn’t change given that it’s triggered by dividends and we can share with you some of the calculations we make. It’s really the economic essence of the items doesn’t change. What changes is the accounting mechanism. But the reality – the ownership of the value remains the same. Whereas we believe on the Q3 or Q4, that doesn’t really change. In any case, the timing is definitely before the end of the year, hopefully within the third quarter. Let me put it that way.
Ian Macqueen: Okay. Thanks very much, guys. Good job. Keep it up.
Andres Ocampo: Thank you.
James Park: Thanks very much.
Operator: [Operator Instructions]. Your next question comes from the line of Leonardo Marcondes of Itaú
Leonardo Marcondes: Hi, guys. Just a quick question from my end. Could you give us an update of your current situation at block 64 [ph] in Peru? Thanks.
James Park: Hi, good morning. Thank you, Leonardo. Currently, our team – a few weeks ago, our team filed finally the environmental impact study which is the necessary item for us to start working and operating on the asset. That was filed a few weeks ago. The expectation is – we are working with the regulatory entities currently, going back and forth, making clarifications on the document. Our expectation is to have approval of this environmental impact study hopefully before the end of the year. If not, it’s definitely the first quarter next year.
Leonardo Marcondes: Okay, that’s fine. Many thanks, guys.
Operator: Your next question comes from the line of Joel Musante of Alliance Global Partners.
Joel Musante: Hi, good morning. I just had a question. With all the success you’ve had operationally and with your stock price, you look like you’re probably in a really good position to make an acquisition at this point. And I know you’ve been looking for different properties. So I was hoping you can give us an update on what the acquisition market looks like for you at this point?
James Park: Hi. Good morning, Joel. Thank you for your question. As you know, our three basic parameters or strengths under which – or around which we built our company are to be an explorer, operator and consolidator. So really searching and looking for good opportunities is an ongoing process and it is something that we do continuously. It is a big component of our company and we keep ourselves very busy on that front and we’re working and streaming a lot of opportunities throughout this region. Hopefully, we’ll be able to close one soon. As you know, we’re long-term, patient, conservative buyers. So we really don’t rush into acquisitions. We really close on the ones that we think they really make sense. We just did two – maybe smaller acquisitions, but we just closed on two acquisitions in Argentina this year. The three new assets are producing on the Neuquen basin and the near large acreage being in the same basin in partnership with YPF.
Joel Musante: Does your relationship with the Indian National Oil Company give you more bandwidth in terms of size of acquisitions? I’m not sure how that relationship works, so you can speak to that?
James Park: Yes, it’s a strategic alliance and we’re jointly working with them on a number of these – evaluating these acquisition opportunities. And yes, effectively they are a good – a great oil and gas company, a very large oil and gas company that is looking to grow. They partnered with us leveraging with our operating skills. And yes, given the size of ONGC, it really opens up a much bigger – a much bigger number of opportunities and even larger type of opportunities. With this partnership, we are effectively not really limited by size in terms of the opportunities that we look for.
Joel Musante: Okay, great. That’s all I had. I appreciate it. Thanks.
James Park: Thank you, Joel.
Operator: Your next question comes from the line of Shahin Amini of Pareto Securities.
Shahin Amini: Good morning, gentlemen. Two questions; one appoints on the cost that I think it’s kind of important to get a better feel. On your consolidated OpEx, it steps up from compared to Q1, I think that was mainly on the back of Argentina. I’m just wondering if you could elaborate further how we should be thinking about that – those costs over the coming quarters and to provide more color on how you see those operations developing the next year or so? And I think your personnel costs also steps up from the previous quarter. Is that sort of now peaking or could it continue to rise? And I suppose from the previous caller who had a question about acquisitions, I’m just wondering, is there also scope for you to be perhaps divesting certain assets that are becoming non-core to your portfolio?
James Park: Okay. Good morning, Shahin. How are you? Thank you for your questions. Sorry, I’m writing them down. To your question about costs, as you pointed out, yes. The step up that you see, it’s around $1.00, $1.50 per barrel on a consolidated basis that’s coming mainly from – this is the first quarter that we start consolidating the assets that we acquired with production in Argentina. The cost per barrel on those assets, currently it’s around $26, $27 per barrel on the OpEx, and we expect those to start coming down as we’re taking over the assets. We have now our team working on this cost, but we expect them to start coming down as of the third quarter this year and onwards, both on the cost reduction side and also on the – hopefully production increases side. We are – currently, we are moving a pulling rig there to test a very attractive tight gas opportunity, which is a well that was drilled by the previous operator that tested roughly 100,000 cubic meters a day for a period of two months and now it’s shut in. This was not factored in our reserves or in our calculations, but provides the opportunity to open up 50 to 60 bcf tight cast fuel right there in – within our blocks. So it’s an exciting opportunity. And that rig is going to move to do some work over some older wells to bring them on production and improve the water flooding on the field. So, hopefully, that is going to be improved in the production profile in the field and also absorbing some costs. And then your other question was about – the divestitures, sorry. So yes, definitely, as we continue growing and as we continue bringing more assets into our company, we’re actively considering working on potential divestitures on assets that are not core or that are not really part of our key strategy or main focus. That’s always part of what we do.
Shahin Amini: Very good. But it was also I think as part of your G&A, the personnel costs had gone up if I recall correctly compared to the previous quarter. Obviously, you’re growing and you’ve got Argentina, is that something that you can see increasing for the coming quarters, or has it kind of peaked?
James Park: Well, we don’t expect big increases on our structured cost going forward. We added a few more people in some of the countries where we are growing, same as the new added assets in Argentina. But really we’re not expecting that to grow. We are – as you know, we’re investing in our human capital for the long term and we think – we look at this, particularly the G&G line of the G&A cost line more as an investment really than a cost. But we’re not expecting the increases in that area.
Shahin Amini: Thanks very much. Just a very quick follow-on from the Argentina question I have. Just what percentage of those cost are in the local currency? And in terms of managing U.S. dollar local currency fluctuations, is that something that you need to actively manage or is it just come – it’s not a major issue as it currently stands?
James Park: Yes. We’re on the right side in terms of currency exposure in Argentina because the 50% of our costs – roughly 50% of our costs are in local currency and 100% of our revenues are dollar denominated. So, effectively the most recent devaluation is going to dilute a portion of our costs locally and is going to be part of the other cost reductions that you should expect to see over the next quarters.
Shahin Amini: Right. But the inflation is going to ease into that, right, while cost inflations would be quite steep I expect?
James Park: Yes. Inflation on cost is also done on the local currency. But usually, in Argentina the devaluation has been winning to inflation, so devaluation has been higher than inflation for most periods.
Shahin Amini: Well, thank you very much for your answers and congratulations on your new records. All the best. Thank you.
James Park: Thanks very much.
Operator: Thank you. I’ll now return the call to Mr. James Park for any additional or closing remarks.
James Park: Thank you to everybody for your interest in GeoPark and your continued support of our company. We encourage you to please visit us at our operations, and invite you to please call us at any time for any information. Thank you and good day.
Operator: Thank you. That does conclude today’s conference call. You may now disconnect.